Operator: Good day, and thank you for standing by. Welcome to the Kinross Second Quarter 2022 Results Conference Call and Webcast. All lines have been placed on mute to prevent background noise. [Operator Instructions] During today's call, there will be a question-and-answer session. [Operator Instructions] I will now turn the conference over to Chris Lichtenheldt, Vice President of Investor Relations. Please go ahead.
Chris Lichtenheldt: Thank you, and good morning. With us today, we have Paul Rollinson, President and CEO; and from the Kinross senior leadership team, Andrew Frere, Paul Tomory and Geoff Gold. For a complete discussion of the risks and uncertainties, which may lead to actual results differing from estimates contained in our forward-looking information, please refer to Page 2 of this presentation, our news release dated July 27, 2022, the MD&A for the period ended June 30, 2022, and our most recently filed AIF, all of which are available on our website. I will now turn the call over to Paul.
Paul Rollinson: Thanks, Chris, and thank you all for joining us. Today, I'm going to briefly review our second quarter performance, comment on our expectations for the second half of 2022 and update you on key developments across our portfolio. Then I will provide some comments on the state of our business and the compelling value opportunity our shares currently offer. After that, I will turn the call over to Andrea and Paul, who will provide more detail on our financial performance and on our operations. Beginning with our results. As a company that has met guidance nine out of the last 10 years, I am not happy with our operational results in the first half of this year. Given the challenges we have encountered, we are now targeting production at the low end of our guidance range. In order to meet the low end of guidance, we will need to produce nearly 400,000 ounces more in the second half than we did in the first. We see the increase in production coming from the following four areas. One, the movement to higher grades at Paracatu. Two, seasonally enhanced recovery from our U.S. heap leach operations with particularly strong performance expected from Bald Mountain. Three, maintaining the 21,000 tonne per day throughput at Tasiast that we have already achieved and four, working through supply chain challenges at the La Coipa mill. I want to give you my commitment that we will be highly focused on the delivery of these objectives. On costs, with the slower ramp-up at the Coipa resulting in lower production overall, combined with inflation, we expect to be above our guidance for cost of sales in ASIC. Andrea will elaborate on this in a few moments. We remain confident in our expectation our cost per ounce will drop in the second half relative to the first half, given the planned increases in grade and production across our portfolio. During the quarter, we improved our liquidity by paying down $120 million of debt and we plan to repay an additional $300 million to $400 million in the second half. We also continue to return capital to shareholders through our dividend program and plan to continue our buyback program in the second half. Moving to our projects. Things are progressing well. In a particular note, yesterday evening, we released the study results for our 70% owned high-grade Manh Choh project. We are pleased with the results of the study and will be moving forward. During the quarter, we completed the sale of our Russian business for total cash consideration of $340 million with $300 million received on closing. We continue to advance towards the closing of Chirano, which we expect will be finalized in August. These divestitures have resulted in approximately 70% of our production now coming from the Americas. Looking at our value proposition. We have a competitive reserve life index into the next decade, substantial production focused in the Americas, significant margin and free cash flow, a strong balance sheet and an attractive return of capital. Our top 2 assets, Tasiast and Paracatu, together are expected to produce, on average, more than 1 million ounces annually into the next decade. The rest of our portfolio in Alaska, Nevada and Chile make up an additional 1 million ounces, which we expect to produce annually. In addition, we expect our world-class Great Bear development project to carry our production into future decades. Before I turn the call over, I want to touch on the important area of safety, our first priority. Sadly in July, we suffered a fatality at our Tasiast mine. This unfortunate incident is a reminder that despite our constant focus on safety, our work is never done, and we need to be continuously improving our standards and practices. We value the health and safety of our workforce above all else and are taking steps to continuously improve our risk management and safety systems to safeguard every member of our team. With that, I'll now turn the call over to Andrea for a review of our financial results.
Andrea Freeborough: Thank you, Paul. I'll cover financial highlights from the quarter and provide an overview of our balance sheet and then touch on our capital allocation. First, I'd like to point out that all the financial metrics I’ll comment on today exclude our former Russian asset and Chirano. As Paul noted, our second quarter production of 454,000 ounces was stronger than the first quarter, driven primarily by increases of Paracatu and our U.S. operations. Our Q2 cost of sales was $1,027 per ounce, which increased relative to the first quarter, largely due to increased comp at Round Mountain and higher fuel costs at Tasiast. We expect cost of sales to decrease in the second half, which I’ll come back to. All-in sustaining costs of $1,341 per ounce were higher than Q1 due to the increase in cost of sales and higher sustaining capital. As we indicated in our press release yesterday, our costs are tracking above our previous guidance range, and we're now expecting full year cost of sales to be approximately $900 per ounce and are all-in sustaining cost to be approximately $1,240 per ounce. due mainly to lower production from La Coipa and inflation. On inflation, we previously incorporated a 7% increase in our operating cost for the year. We now expect the impact to be around 10% to 12% for the full year, and we factor that into our revised guidance. For CapEx, our initial assumption of 10% to 15% inflation still to hold. Our examination of $900 per ounce incorporates lower cost of sales in the second half at approximately $830 per ounce. We're confident in this reduction, which comes from the ramp-up in production across the portfolio and the benefit from increased lower cost ounces at Tasiast and La Coipa in particular. Our second quarter adjusted operating cash flow was relatively consistent with Q1 of $252 million. CapEx of $150 million in Q2 was higher than Q1, but is still at a lower pace than what we planned for the second half. We still expect to spend our guided CapEx range of $850 million by year-end. Free cash flow during the quarter was $108 million or $103 million, excluding working capital changes, which was a significant increase over Q1. We expect free cash flow to increase further in the second half, particularly in Q4, as our production increases and cost decrease subject to future gold prices. With regard to our balance sheet, our financial position remains strong and is expected to strengthen further, both in the second half of the year and going forward into 2023 and 2024. We maintained investment grad credit rating from our three rating agencies, two of which reaffirm ph ratings during the second quarter. We ended the quarter in solid cash and liquidity position with $719 million ph of cash and approximately $2.1 billion of total liquidity. As Paul mentioned, we repaid $120 million of debt in the second quarter with another $100 million paid down in July and plans for continued repaying going forward. Our trailing 12-month net debt-to-EBITDA ratio improved slightly at June 30 to 1.7 times. We expect this ratio to continue to come down throughout this year and last year. Finally, on capital allocation, as Paul noted, we expect to continue with our dividend, which we've planned for the long term, including our lower gold prices. Our dividend now amounts to a compelling yield of nearly 4%. We also plan to maintain our base line share buyback program at the same level as our dividend. But as always, we're monitoring gold prices and inflation as we think about our capital allocation priorities. With that, I'll now turn the call over to Paul.
Paul Tomory: Thanks, Andrea. This morning, I'll provide key updates on our operations, share highlights from our decision to proceed with Manh Choh, as well as details on our ongoing growth projects and share some news from exploration. Across the portfolio, Q2 improved compared with Q1, but it was not without challenges, as Paul mentioned. Looking forward, we remain on track to ramp production up in the second half of the year, driven by planned higher grades and throughput levels across the portfolio. I'll provide a few examples of this, starting with Tasiast. Tasiast delivered a good second quarter with $129,000 ounce produced, head grades remain strong in Q2, and we're encouraged by the ongoing throughput ramp-up regularly achieving more than 21,000 tonnes per day. The outlook on Tasiast remains strong, and the site remains on track for a record year with over 600,000 ounces of production. We're expecting a production increase of at least 30% from Tasiast in the second half of the year, largely driven by sustained throughput of 21,000 tonnes a day and increasing grades coming out of West Branch 4, where we are mining now. In July, for example, the mill grade average just below 3 grams per tonne. The second phase of the project ramped up to 24,000 tonnes a day also remains on track for completion in the middle of 2023, with engineering substantially complete and procurement well underway. Construction of the solar power plant at Tasiast is advancing with detailed engineering ongoing with procurement underway with initial site activities expected to start later this year. At Paracatu, production for the quarter was 129,000 ounces, up roughly 20% compared with the first quarter. We expect to see higher grades in Paracatu through the remainder of the year, as mining enters into a higher grade ore in the Southwest area of the Paracatu ph planned. The processing of lower grade stockpiles is largely complete for this year. Throughout July, we have been averaging a grade of 0.45 grams a tonne, which is approximately 30% higher than the first half, and we expect to produce around 50,000 ounces this month alone. I'll now move over to La Coipa. As Paul mentioned, commissioning of the mill progressed more slowly than the initial planned in the second quarter. However, La Coipa is making progress and will be a meaningful contributor to our portfolio going forward in terms of production and cash flow. The temporary delays were primarily driven by issues commissioning the pumps and some of the other components in the mill, exacerbated by global supply chain problems, which have hindered the availability of critical components. Mitigations are ongoing in July its showing improving throughput levels, including recently reaching 10,000 tonnes per day. With the commissioning of the second line of the plant underway, we now expect La Coipa to reach sustained throughput of 13,000 tonnes per day in the fourth quarter. These issues have resulted in a production deferral of approximately 60,000 ounces. To reflect this delay, as well as a higher gold to silver price ratio than initially assumed in our guidance, we have revised our expected La Coipa production for the year down from 200,000 ounces to 125,000 gold equivalent ounces. We do not expect delay to impact production going forward once we're ramped up. So production in 2023 and beyond is intact, and the ounces deferred this year will be realized in future quarters. Mining rates have also ramped up as planned and we now have a stockpile of 800,000 tonnes to the grade of 1.2 grams per tonne gold equivalent ready for the mill. Moving to Round Mountain. The site optimization project remains on track for completion later this year. Overall, there are no significant changes to our expectations from our most recent comments. We expect to develop Round Mountain according to the following sequence. Phases W1 and W2, two sub phases of Phase W will be mined as an open pit and are the priority for the next 2 to 3 years. Then Phase S will be added starting in Q1 of 2023, and the necessary permits for this phase were received this past month in June. Following that, we expect to mine W3 and W4 which are the last 2 sub phases of W. We continue to evaluate the trade-off between underground versus open pit for these phases. Looking longer term, we're advancing the study of underground options for both Phase X and Gold Hill both of which are showing promise. We'll provide more details later this year as we approach the completion of our optimization study. To recap, our confidence in a strong second half relates to improved grades as for our planned mining sequence of Paracatu. At Tasiast production growth coming from a combination of sustaining throughput at 21,000 tonnes a day and higher grade ore from West Branch 4 and at La Coipa, where we are progressively advancing the commissioning of the second line of the plant. And lastly, leaching at the U.S. sites is picking up as expected. I will move to an update now on the Manh Choh project. We are pleased to announce that we're proceeding with the execution of the Manh Choh project in Alaska. Manh Choh provides a robust growth project for Kinross, adding high-grade, and low-cost production to Fort Knox. The project returns remain attractive despite the impact of inflation. Our preproduction capital investment of $190 million includes a higher than typical contingency to allow for the possibility of future inflation. The acquisition of Permits ph is also progressing well. Earthworks and road construction will be the priority for the remainder of 2022, setting us up for a successful field season in 2023, and we expect to be in production during the second half of 2024. Before turning the call back over to Paul, I'll provide a brief update on our exploration programs. Starting with Great Bear, as our exploration program advances, the results reaffirm our expectation that this will become a world-class mine. We remain on track to complete the 200-kilometer exploration drill program for the year. We continue to receive positive drill and assay results that confirm gold mineralization, which is open along strike and depth. We received exciting results at depths below 500 meters. Of note, a recent drill hole from earlier this month intercepted 18 meters of 5.8 gram per tonne gold, including 2 meters of 41.8 grams per tonne at a vertical depth of approximately 550 meters. Results like these support our vision for a sizable underground mine to complement the open pit. Also, the 35,000 meter grade control program has been completed, confirming our initial view on the high-grade core of the LP Fault zone. This program has improved our understanding of continuity and great distribution. On this topic, I want to clarify a point we made during our June 28 project update session that may have been misunderstood. The high-grade nature of the open pit that we originally envisioned has been confirmed. In addition to this, we've discovered low-grade material that is incremental and will be stockpiled to ensure we maintain high-grade mill feed. So this is good news and expect it to add value. Environmental baseline studies have begun and all key work packages have been awarded for scoping level engineering work. All in all, we remain very encouraged by the results of our work to date and look forward to disclosing our initial resource with our year-end results. Other exploration highlights in the portfolio include encouraging drill results at our Curlew Basin project extensions to the Round Mountain Gold deal veins identified in the late part of 2021. At Curlew, drilling from underground has improved the understanding of mineralized vein orientations. In addition to encouraging results from the Stealth and Galaxie veins, initial derivative results from the lower portal zone show excellent potential to contribute to overall resource growth. We remain on track to report an expected mineral inventory of 1 million ounces after year-end results. At Round Mountain Gold Hill, drilling has extended the main in Alexandra veins over 300 meters along strike and 200 meters down dip. new geophysical data confirms multiple deposit scale trends open along strike at Gold Hill. We are encouraged by the significant strike continuity in the open untested nature of the trend. Meanwhile, Phase X, plans for the construction of an underground exploration drift continue to advance well and remain on track to commence in the fourth quarter. And with that, I'll turn the call back to Paul.
Paul Rollinson: Thanks, Paul. Despite operating challenges in the first half, our operations continue to advance towards our plans, and we are confident in our outlook for a strong second half. Our company continues to generate meaningful free cash flow, and we think the value our shares offer has never been better. We have an improved geopolitical footprint, a robust production pipeline with exciting projects and exploration to come, a significant free cash flow profile, a strong balance sheet and an attractive return of capital program. With that, operator, I'd like to open up the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Fahad Tariq of Credit Suisse. Please go ahead.
Fahad Tariq: Hi, good morning. Thanks for taking my two questions. First on La Coipa, you mentioned mitigation is ongoing. Can you just give some more details on whether the spare parts that are needed have been procured, what else is needed to from a supply chain perspective to get the mill kind of where you want it to be?
Paul Rollinson: Yes. Thanks, Fahad. The nature of the issues as we are commissioning the second line in the filter plant. We had some seals and bearings sale on a number of the pumps. We've placed orders for both new components and new pumps, and we have been steadily sourcing them. We don't have them all I'd say right now, but we've been steadily having new pumps and components arrive at site, and we expect to have everything we need to fully ramp up throughput in the next couple of months.
Fahad Tariq: Okay. Great. And just switching gears to Manh Choh. Obviously, with the investment decision and the positive feasibility study results. Why is this still excluded from 2024 production guidance?
Paul Rollinson: We typically do our multiyear guidance at the beginning of the year. So it's simply a mechanical step on when we update guidance.
Fahad Tariq: Okay. So it's not a function of like expecting lower production in or beginning the second half of 2024, okay?
Paul Rollinson: No, no. No, we just haven't updated our multiyear guidance.
Fahad Tariq: Understood. That's it for me. Thank you.
Paul Rollinson: Thanks.
Operator: Your next question comes from the line of Anita Soni of CIBC World Markets. Please go ahead.
Anita Soni: Hi, good morning, Paul, Paul. And thanks for taking my question.. The first one is just related to – is regarding CapEx. So if I'm correct, you've spent about $250 million in the first half of the year, but you reiterated your guidance for $850. Does that mean that - and correct me if the $250 million is wrong, but does that mean that we'll have a heavy CapEx spend in the second half of the year and you'll catch up? Or should we be gearing more towards minus and on the cost minus 5% of the capital?
Andrea Freeborough: Anita, it's Andrea. Yeah, I mean, we maintained our 850 guidance. But you're right, that's a range, plus or minus 5%. We were low in the first half, but we do expect CapEx to ramp up in the second half for a few reasons. Capital stripping, we expect to increase, in particular at Tasiast and La Coipa, and then we'll have some additional CapEx that for now at Paracatu, and then spending at Manh Choh the higher spending of the 24K project. Those are kind of the three things that factor into higher CapEx second half.
Anita Soni: Okay. And then on costs. I appreciate that you don't give guidance out for the coming years, but until February. But I'm just trying to understand, given the $900 per ounce you've guided to this year, and I know that you're guiding to like lower cost in the back half of the year. But should we - should we be using a lower cost in the back half of the year as the run rate for next year? Or should we be thinking that inflationary pressures may offset the volume increase that you have planned for next year?
Paul Rollinson: It's a bit of a tough one to call, Anita. It really is around and from an operational perspective, we're comfortable with the second half with a sort of a numerator denominator production grade effect. But the more difficult part to call as you're alluding to, is the inflation. And again, as we said at the beginning of the year, we guided inflation in February at 7%. We said we'd give an update at midyear and here we are essentially updating now to 12. So trying to predict how that's going to play out next year at this point. Hopefully, it abates, but that's going to be the wild card.
Anita Soni: Okay, thank you. That’s it for my questions.
Operator: [Operator Instructions] Your next question comes from the line of Carey MacRury of Canaccord Genuity. Please go ahead.
Carey MacRury: Hi, good morning, everyone. Maybe first on La Coipa. I know originally, the plan was to do 200,000 ounces. I'm just wondering what that ramp up looks like now through Q3, Q4 into Q – sorry into 2023?
Paul Rollinson: Yeah. So because of these delays in the ramp up, we're now running through 8,000, 9,000 tons, had a few days at 10, and we want to ramp up to 13,000 tons by the fourth quarter. If you make that adjustment into allowances, as I said in the prepared. we are moving La Coipa production from 200 to 225.
Paul Tomory: I would just add to that, again, just for context, Carey. I mean, this is obviously frustrating. We're not happy with it. The mine continues to operate. It's - this is not a highly technical issue. It's - it is a ramp-up. It's pretty straightforward. It's really just about getting those spares, those parts. For equipment, that's pretty straightforward. So we know what the issue is. We're on top of it. We've just got to source the material and get a job back in.
Paul Rollinson: And we've got in all - 2023.
Paul Tomory: Yeah. 2023 will be as per plan. As Paul said, this is just a matter of ramping up the throughput. And we've got the order, we got the stockpile there at 1.2 grams waiting to be fed.
Carey MacRury: Okay. And then maybe just switching to around Mountain, just on the cost there. I mean, obviously, a big jump in costs despite a jump in production. Just wondering if you can add a bit of color on what happened there this quarter?
Paul Tomory: There are several drivers there. One is just inflation. Our Nevada sites are particularly impacted by cyanide and lime ph cost increases, particularly on cyanide. It's also a function of a greater proportion of heat ounces versus mail ounces and also timing of where we are in stacking versus recovery. But even in the bigger picture, a way to look at it is, it's more than anything a function of the lower production number. And as we said on previous calls, our intent is to ramp around Mountain back up to that 300,000 ounce a year figure, which will get cost structure back in line. So big picture, it's really about production scale. But in this particular quarter, it was impacted by a number of those specific issues that I just mentioned.
Carey MacRury: To cost you to go down to like , like 1,000 an ounce something like that?
Paul Tomory: Well, we're going to have to finish our optimization work. But as we ramp up to 300,000 ounces, which we intend to do in 2024, the costs will trend back down or both. That will be the - those are the last bids that we're doing on this optimization study of the cost profile, but the cost will come down as production goes up.
Carey MacRury: And maybe just one last question on Tasiast. I noticed the recoveries were 89, which is just quite step down for the last few quarters. Just wondering what happened there?
Paul Tomory: Yeah. As we got into the high-grade material, we encountered some high sulfide puritite [ph] and that pulled the recovery down, but we've been able to address that through better oxygenation and blending the puritites with the non- puritite material to get it back up. And over the last few weeks, we've got that back in line. So it's really to do with some puritite that we encountered.
Carey MacRury: Okay. Thank you.
Operator: Your next question comes from the line of Mike Parkin with National Bank. Please go ahead.
Mike Parkin: Hi, guys. Just one for me. With an NCIB outstanding and you're still generating and expected to generate stronger free cash flows. Is there a thought towards a bit of a balance now in terms of still focusing on the balance sheet in terms of debt repayment, but given where the share price is, maybe putting some capital to work towards repurchase of shares?
Paul Rollinson : Yes. Mike, that's exactly the plan. So we are maintaining both the dividends and the buyback on top of the dividend. And obviously, at the same time, we're paying down debt. So we're doing all of the above. I think we're taking a bit of a cautious approach as we think about where we are in the macro sense, where is the commodity price going? Where is inflation going? We'll see how that takes us. And certainly, any margin expansion through higher gold prices, we'll think about how we might ramp up either the buyback or accelerate the debt repayment, but we're comfortable doing all three as we sit here today.
Mike Parkin: Okay. Thanks, guys.
Operator: Your next question comes from the line of Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek: Good morning, everyone. Thank you for taking my questions. Paul Tomory, I just want to circle back to just a bigger picture theme, which is obviously instrumentation ship [ph] getting these pumps in and spare parts. And just wondering how you are looking at your inventories at site. Are we looking at adding additional inventories for site given some of these supply issues that say La Coipa and following that, as we Tasiast and we're expanding throughput from '21 to '23 by mid next year, do we have everything we need for that one on site?
Paul Tomory: So there's a couple of questions in there, and I'll hit a few anecdotes on this. So as we all know, global supply chains are stretched, and the availability of certain parts has really been impacted particularly on lead times. We have, over the past 6, 8 months campaign on critical spares, and we've ramped up inventory levels where possible, where the vendors had the capacity to do that. So yes, we have been squireling away critical parts and components where possible. and building up our warehouse levels. In the specific case of La Coipa, just to give an anecdote, we're seeing certain components with 40 to 45 week lead times, on things that previous to the pandemic and previously supply chain challenges that would have been readily available. And it's difficult, in some cases, to predict specifically where some of these components will really be impacted. And there's always a - there's always a trade-off between - I don't want to say irresponsibly ramping up warehouse just buying everything that you can.
Paul Rollinson: We manage inventory as carefully as far…
Paul Tomory: Yes. We manage the inventory as much as we can while ramping up critical spares, where we think we can anticipate failures, but it's a difficult one to get right all the time. And in certain situations, no amount of begging and pleading with suppliers to get you more equipment or components. Sometimes the supply chain are what they are, and we have to source alternative supply. So that's what we're doing here at Tasiast, as we are buying pumps from perhaps not of the quality that we would normally buy put in place a substandard component or a substandard piece of equipment and then wait the long lead time for the better piece of equipment. So yes, we are managing, we are buying a replacement components proactively where we can, but it's not something we can do perfectly everywhere.
Paul Rollinson: I am just going to jump in and add and maybe tee you up a bit more. I mean, again, just for context, why are we here right now where we are. Obviously, we tested all this equipment, we ran test on these pumps as part of our ramp-up to restart the La Coipa and the pumps all works fine. But what we're finding is with a constant load with the ramp-up of the operation, the constant load on this equipment, this is where we've seen the failures. So it wouldn't have been routine for us to have this amount spare parts given the positive testing we got. But what we've found as we've continued to push the throughput, that's where we've seen some of the failures and that's why we're scrambling a bit to get these parts.
Paul Tomory: And a quick reminder, this is a plant that was down for 10 years, and there are over 80 pumps in the filtration plant there. And again, like I said, it's not something you can replace every single one and have in warehouse.
Paul Rollinson: And again, for context, 80 pumps, we're probably talking 8 or 10 that are problems or 10% of the - the total. So that's - we know what it is. We're focused on it, and we're chasing it down.
Tanya Jakusconek: Given the experience that you're seeing there and now knowing what is taking some of these supply chain issues or take a long time to get the parts, are you seeing anything that you're concerned about for the Tasiast expansion? Anything that - La Coipa - south, but maybe something else in the supply chain that you're now definitely focused on to make sure you have the Tasiast?
Paul Rollinson: Well, it is a hard lesson learned, and we are reviewing all of our sustaining capital projects and major projects for exactly similar weak spots, where are there components or key pieces of equipment where we should have a capital spare on hand. So yes, we are - from a hard lesson learned, we are reviewing critical components across the rest of the portfolio.
Tanya Jakusconek: And anything in the critical component for Tasiast like from my understanding, it's just the expansion of the mill. I think if - I remember correctly, we had a majority thing we needed on site.
Paul Rollinson: Yes. Tasiast – yeah, so the 24k project is more a construction sequencing asset of activities. tie-ins. The biggest element there are the Segisor [ph] screen retrofit, and we have all the components for that.
Tanya Jakusconek: Okay. I just have two other questions, if I could, and I wanted to circle back to Andrea and maybe Paul as well. I'm just trying to understand your capital allocation. Again, I understand you're going to keep your share buyback $150 million, your dividend of $150 million, you want to reduce your debt at the same time and I think I had from my collection. I think you want to do another is it $300 million or $400 million on top of what you have recently done for the second half of the year. Is that correct? As I'm thinking about it…
Andrea Freeborough: Yeah. Tanya, I think - I mean, part of this depends on gold price in the second half. So we gave a range in terms of what we expect to add to the debt repayment. So just to clarify, in the second quarter, we repaid $120 million. That was $100 million on the revolver and $20 million on the Tasiast loan. In July, we've repaid another $100 million on the revolver. So we've got $100 million left outstanding on the revolver. As we sit here today, and we expect to repay $200 million to $300 million in the second half. So that would be taking out the rest of the revolver and then addressing other debt. And so for the year, that's a total of $400 million to $500 million. And again, that range just depends on where we are on gold price.
Tanya Jakusconek: Yes. I'm just trying to get an understanding from you. Is there a sort of net debt-to-EBITDA level that you're looking at before you feel comfortable that you have your debt where you want it to be and your share buyback becomes [indiscernible] I know I think you're targeting as indicated your net debt to EBITDA under one by year-end. So I'm just wondering if that’s still possible just I have chance to do the number. And then my second question is what level do you feel comfortable with your net to EBITDA to move from debt to share buyback?
Andrea Freeborough: Yes. I mean I think I did previously say we expect that ratio to be at or slightly below one, just given production now being at the low end of our guidance range. We'll probably end the year slightly above one. That's by no means uncomfortable for us. I think the message there is just we are working to strengthen the balance sheet. We're comfortable where we are, but we do see it getting stronger by the end of this year and then continuing into next year as well.
Paul Rollinson: And then I guess we've always thought of the buyback is that flex in the equation. And again, we're going to take our key there really from a margin perspective, as we continue to approach that debt metric if we get some benefit in the commodity, then that's where we'll have the flexibility to amp up on the buyback.
Tanya Jakusconek: So as [indiscernible] net debt to EBITDA again for that one time, then we could see you be more active in your share buyback is sort of what I understood.
Paul Rollinson: If the tone is right in the commodity.
Tanya Jakusconek: Thanks for that. And if I could just squeeze in one more – more Paul Tomory. It's just back to the inflationary pressures. And I appreciate you we've gone from up to 12% for 2022. I'm just trying to look at your key components of your cost structure? I'm trying to understand where you yourself are seeing more inflation, I think from a memory, I think $0.40 of your cost structure is labor? Maybe just to touch the math because component - are you seeing continued labor inflation? Or is it mainly in the consumables and fuel that we're seeing for everybody else. I'm just trying to get the components and just trying to see if anything has peaked for you or has anything peaked for you in terms of what you're seeing in the consumables?
Paul Tomory: So the one area where we are seeing a peaking of course, is in the oil prices with things flattening out of 100. In other key commodities, we continue to see increases in prices, but perhaps at a flatter rate of increase. The most impacted things are like cyanide and lime, ammonia explosives, things that are essentially tied to the petrochemical chain. In the case of labor, we are seeing pressure in the United States and then to a lesser extent in Brazil and Chile. So if you're asking - we are seeing inflation across the board. We are seeing signs of some attenuation as I said, in the fuel. And the rates of increase in some of the other key commodities aren't as severe as they were. So if that's a good news story, maybe there is something there that the worst of the rate increases - increasing the rate behind us.
Tanya Jakusconek: And when you say labor pressure in the U.S. used to be in that 3% to 5% that I should be thinking about what you're seeing?
Paul Tomory: It's a little bit more than that. It's probably the 5% to 8% on labor in the U.S. And it's really driven by very high turnover rates. And the only way to keep those - keep those jobs - operators and trucks and people in the mills and in maintenance is by hiring and typically, you have to pay a more competitive wage.
Tanya Jakusconek: Okay. Thank you. I appreciate it for a lot of time. So I’ll pass it on to somebody else.
Operator: And this concludes the question-and-answer session. I will turn the call back to Paul.
Paul Rollinson: Thank you, operator, and thanks, everyone, for joining us this morning. We look forward to catching up in person in the coming weeks. Thank you.
Operator: This concludes today's conference call. You may now disconnect your lines.+